Operator: Good evening, and welcome to Universal Music Group's First Quarter Earnings Call for the period ended March 31, 2024. My name is Nadia, and I will be your conference operator today. Your speakers for today's call will be Sir Lucian Grainge, Chairman and CEO of Universal Music Group; and Boyd Muir, Executive Vice President; CFO and President of Operations. They will be joined, during Q&A, by Michael Nash, Executive Vice President and Chief Digital Officer. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] As a reminder, this call is being recorded. Please also let me remind you that management's commentary and responses to questions on today's call may include forward-looking statements, which, by their nature, are uncertain and outside of the Company's control. Although these forward-looking statements are based on management's current expectations and beliefs, actual results may vary in a material way. For a discussion of some of the factors that could cause actual results to differ from expected results, please see the Risk Factors section of UMG's 2023 annual report, which is available on the Investor Relations page of UMG's website at universalmusic.com. Management's commentary will also refer to non-IFRS measures on today's call. Reconciliations are available in the press release on the Investor Relations page of UMG's website. Thank you. Sir Lucian, you may begin your conference.
Lucian Grainge: Hello, everyone, and thank you for joining us. Today, I'm pleased to report that Universal Music Group has had a strong start to 2024. The three months have brought us yet another quarter of solid growth. Revenue was up 8% in constant currency and adjusted EBITDA increased by 16%, driving healthy margin expansion. And these are the results before we begin seeing the benefits that will flow from our recently announced strategic organizational redesign. In a few minutes, Boyd will walk you through the numbers in detail. But for now, I want to make clear that UMG's continued success is in large measure attributable to the broad-based and strategically integrated portfolio of businesses that we've created and assembled. By diversifying our revenue streams in this way, we're better positioned to navigate the inevitable ups and downs in the revenue of any one particular business. Today, though, I want to focus my remarks on three areas, of which we are especially proud and from which we expect even more impressive results going forward. They are: first, the continued extraordinary success of our artists; second, we further develop, extend and broaden mutually beneficial partnership relationships; and third, the resolution of our dispute with TikTok, its significance with respect to artificial intelligence and the global progress we've been making around the world around our entire responsible use of AI and its related public policy. First, let me relate to you just a handful of first quarter achievements by our incredible artists. I'll start with Ariana. In the U.S., her new album, Eternal Sunshine, became her fourth consecutive album to hit number one on the Billboard 200 chart. All 12 songs landed on the Hot 100 with the first two singles each becoming number one. The album reached more than 1 billion streams on Spotify in 20 days, and was released in 12 physical configurations, six vinyl and six CD with four vinyl configurations sold exclusively through Ariana's official webstore, which we operate and won exclusively through Target. In the U.S., the K-Pop grew twice, so its debut album reached number one on the Billboard 200. This marks the third number one album in three years by an all-female group released by UMG, the predecessors being New Genes and BLACKPINK. In the U.K. this past quarter, a wide spectrum of UMG artists, including The Weeknd, Taylor Swift, Olivia Rodrigo, Eminem, Elton John, ABBA and Ariana Grande, again, held nine of the top 10 album spots with Noah Kahan that has already seen enormous success in the U.S., having both the best-selling album and the best-selling single. At Japan's 38th annual Gold Disc awards in March, a diverse array of UMG artists led the way in many categories. King & Prince won both single and Album of the Year. Best Asian artists went to 17 and Travis Japan was new artist of the Year. The international album of the year was The Rolling Stones' Hackney Diamonds and The Beatles, yes, The Beatles won International Artist of the Year for the ninth consecutive year, unbelievable. In Music Publishing, Universal Music Publishing Group songwriters had seven of the eight different songs that hit number one in the quarter on the Billboard Global 200. In addition, UMPG won Latin Publisher of the Year at the ASCAP Awards with Feid winning artist songwriter of the year. Then, of course, there's Taylor. Her newest album, The Tortured Poets Department has shattered records around the world as the biggest album of the decade and the biggest debut of her career. In the U.S., the album debuted with the second largest sales week in the modern era since Luminate began tracking sales in 1991. In its first six days of release, it broke the single week streaming record in the U.S. Further, Taylor became the only artist to ever hold the entire top 14 on the Billboard Hot 100, with all 31 songs from the album debuting in the top 55. In the U.K., the album debuted number one outselling the rest of the top 10 combined with the biggest opening week for an album in the U.K. in seven years. The debut helped Taylor overtake The Beatles for the record of the fastest artist to achieve 12 U.K. number one albums. And in Australia, Taylor became the first artist to hold the entire top 10 on the Singles Chart and established a new mark for the most singles in the top 50 with 29. And these are just highlights from a few countries. The album also debuted number one in at least a dozen more countries around the world. We are, of course, thrilled with the success of all of these artists. And what drives us at UMG is not only working on behalf of the world's biggest artists, but also breaking the next generation. I'm particularly excited about what we're seeing around the world from our developing talent, including Sabrina Carpenter, who's just had the top global song on Spotify, Chappell Roan, David, Ice Spice, Noah Kahan and Gracie Abrams, to name really just a few. These artists all from different labels, different parts of the world from different genres underscores the importance of our multi-label structure, our creative executive talent and our consistency in breaking the industry's best new artists year after year. I'd like to talk a bit now about the strategic and financial importance of our relationships with emerging and established music companies and entrepreneurs. These relationships are available to us because we've designed and built UMG so that we are able to leverage our scale and global infrastructure to provide third parties with a wide range of distribution, marketing, promotion and other services. While these relationships may begin as lower-margin deals, we view them as having great potential. The connections we make with some of the most exciting entrepreneurs and artists often, over time, expand into a broader suite of services as well as grow into opportunities for multifaceted partnerships, which in return, they result in greater strategic benefits and higher margins. I'll give you a few examples from the quarter. In 2017, UMG teamed up with HYBE in South Korea by way of a label services agreement for BTS, the superstar boy band. Four successful years later in 2021, the Company has expanded the relationship with a global strategic agreement providing for collaborations across a number of artists and projects. Then last year Geffen Records and HYBE announced a new joint venture to launch The Debut: Dream Academy aimed at implementing HYBE'S K-Pop methodology to launch a new group in the U.S. The group will debut through a Netflix series later this year. We're thrilled that in Q1, we entered a new partnership with HYBE. As part of our new partnership, UMG will also work closely with HYBE to help enhance the growth of the superfan platform Weverse in North America. Then there's China. Last month, Universal Music Greater China announced a new global digital label services deal with TF Entertainment's roster of talent. Since its inception in 2009, TF Entertainment has been a pioneer in China's pop culture landscape, introducing the trainee system to cultivate idle groups. Their unique approach led to the establishment of the TF Family under which various groups have flourished with TFBOYS and teams in times, in particular seeing massive success in China. Now targeting markets outside of Mainland China, TF Entertainment will leverage UMG's global capabilities and marketing network. Our alliance underscores our dedication to elevating Chinese pop music to a global acclaim both culturally and commercially and also advances our superfan strategy, offering fans around the world access to distinctive cultural experiences. The final part of the deal I mentioned is Virgin Music's agreement with 3AM Entertainment, a new label founded by Jay Sean, who is nearly 10 million monthly listeners on Spotify and 1.5 million subscribers on his YouTube channel. Our new partnership will focus on supporting artists from the South Asian diaspora and breaking them as global stars. The third area I'll discuss concerns TikTok and the many issues surrounding AI and its impact on music. As you're likely aware, we just announced that we've reached a new agreement with TikTok. They agreed to key changes in several critical areas, which have been very important to us, including addressing our concerns about generative AI on their platform as well as better aligning with the value of other comparable partnerships. As a result, we have resumed licensing our music to them. We are an organization committed to breaking new ground and driving the industry forward, but we're also fundamentally rooted in protecting artists and songwriters from the negative effects of disruptive technology. So we expect and even embrace the inevitable conflicts that were a result from fulfilling our commitments. But ultimately, the point of engaging in such conflicts is to find a higher common ground from which new and greater progress can be made. I'm enormously proud of what our teams and our artists have been able to achieve with TikTok in finding common ground on which we will build a foundation for a brighter future. It's important to note that this new agreement has ramifications beyond this single platform. It's another significant step we've taken to guide the industry's evolution to a future where human artistry must be respected, artists and songwriters must be treated fairly and fans are provided with platforms that better prioritize safety as well as integrity. Further, during the last few months, we've worked to accelerate engagement with music on Snapchat, Instagram and YouTube Shorts. And in a recent agreement with Spotify, which makes available a range of new features that were previously found only on social media platforms, we've even broadened the very definition of the social music category. In short, the income from social media is increasingly important income to artists, songwriters, labels and publishers, which is why we've pushed so hard, and we will continue to push hard to project and to develop it. As our partnerships in the tech space expand and evolve, it remains paramount that we continue to focus our attention with partners and in public policy, on an artist-centric and even more productive approach to AI. To that end, we're encouraged that the European Parliament resoundingly passed the EU's Artificial Intelligence Act, the first of its kind legislation that establishes obligations for AI systems based on the potential risks and level of impact. It's a strong first step that includes important provisions such as transparency with respect to the materials used to train AI platforms. In the U.S., even as support continues to build for a federal right of publicity, several states are taking action. The State of Tennessee recently enacted the Ensuring Likeness Voice and Image Security Act, known as the ELVIS Act that provides strong protections against generative AI voice cloning. We expect further action on these issues as there are ongoing legislative debates in jurisdictions around the world, but we are not waiting for these processes to complete. While public policy guardrails, like the legislation I mentioned are crucial, we leave -- we believe that this rapid technological transformation is best addressed by the private sector. So we are working now to shape a healthy, responsible and ethical AI with an ever-growing roster of partners. For example, we recently partnered with Roland Corporation, the maker of electronic musical instruments to establish a set of principles that two companies will advocate for adoption across the music industry and the creative community relating to the responsible use of AI. These principles highlight the opportunities for AI innovation in music production, composition and songwriting whilst also emphasizing the need for transparency, equity as well as community and involvement. As you can see, we remain at the forefront of industry innovation. We continue to broaden our relationships with artists, entrepreneurs and technology partners alike. We remain laser-focused on driving positive AI developments, putting the appropriate protections in place to secure a productive future for human artistry. All of the actions I've spoken about today align with the artic-centric initiatives that we've been speaking about for some time now, putting artists at the center of every conversation. Our focus on the future has always served us well, and we will continue to do just that, operating to drive long-term health and success of our company, our artists and the broader industry. So thank you. With that, let me turn it over to Boyd for a closer look at our financial results.
Boyd Muir: Thanks, Lucian. As Lucian indicated, 2024 is off to a healthy start. The figures laid out in the press release, they are laid out in the press release, but let me give some additional color. I'd remind you that any growth rates we discuss today will be in constant currency. Total revenue in the quarter grew 8% year-over-year to €2.59 billion with growth across all three business segments. This broad-based growth continues to underpin our confidence about the longer-term health of our business. Looking at the segments, Recorded Music revenue grew 6% with subscription and ad-supported streaming revenue, both exhibiting strong growth. Subscription revenue grew just under 13% to €1.1 billion, driven primarily by growth in subscribers, but also helped by price increases. While we saw the full benefit of the Spotify price increases in the quarter compared to last year, we began to anniversary the positive 2023 impact on price increases at Apple and Amazon. While our growth from Spotify very closely aligns with their performance in the quarter, several other platforms did not grow as quickly. Subscriber growth is the biggest driver of the year-over-year growth rates we see at UMG. Our market share is stable and healthy, and we remain encouraged by the total subscriber growth throughout the market. Ad-supported streaming growth accelerated to 10% in Q1 with some of our largest partners seeing strong growth. We are encouraged that our growth this quarter was more broad-based across many partners and geographies. That being said, this is still only one quarter, so we will continue to monitor our advertising revenues very closely. As anticipated, physical revenue faced a particularly difficult comparison this quarter, declining 14%. If you recall, our physical revenue grew 33% in the first quarter of 2023, driven by an unusually strong performance in Japan, and it was this, which was the primary reason for this quarter's decline. As we've said, physical results are more release schedule-driven than streaming and subscription and skewed towards certain genres, artists and geographies. While our 2024 release slate is strong, we continue to expect a difficult 2023 comp to impact physical sales performance throughout the year. License and other revenues declined slightly in the quarter due largely to the timing of synchronization deals and other revenue. But our positive view on the overall trend for licensing has not changed. Turning to Music Publishing. Revenue grew 18% over the prior year quarter. This strength was driven by 25% growth in digital revenue, thanks to continued growth in streaming and subscription activity as well as 28% growth in performance revenue due in part to higher society payments in the U.S. as well as greater-than-anticipated live activity in Europe. Moving on to Merchandising. Merchandising revenue grew 8%, fueled by growth in touring revenue, particularly in the U.S. Now turning to adjusted EBITDA. Adjusted EBITDA grew 16% in the quarter to €591 million, driven primarily by revenue growth. Adjusted EBITDA margin expanded 1.5 percentage points to 22.8% compared with 21.3% in the prior year quarter. The margin expansion came from a combination of operating leverage as well as strong growth in higher-margin subscription and streaming revenue relative to the declines in lower-margin physical revenue. In addition, we had an incremental €12 million of cash compensation savings from last year's implementation of our equity plan, as in the first quarter of 2023, we were not yet at run rate. We don't expect the cash compensation savings for the remainder of 2024 to have any further incremental benefit over 2023. Every quarter has a slightly different margin profile, depending on revenue mix, segment mix, repertoire mix and many other factors. It's hence why we encourage you to look at our business over the course of at least a year rather than any individual quarter. Adjusted EBITDA and margin did not materially benefit from the cost savings initiatives we discussed on our last call as those savings began to roll out in April. As anticipated, we expect to begin to see the positive impact of the cost savings in the second quarter, and we remain on track for the €75 million in cost savings we previously guided to for 2024. Restructuring charges of €92 million in the first quarter were in line with our guidance and are excluded from both EBITDA and adjusted EBITDA. Adjusted EBITDA also excludes noncash share-based compensation expenses of €101 million during the first quarter of 2024 compared to the €261 million in the first quarter of 2023. We remain on track for our previously disclosed estimate of about €260 million of noncash share-based compensation expense this year. Overall, 2024 is off to a healthy start. We remain encouraged by the growth trajectory of the business and excited by all of the opportunities that lie ahead of us. Lucian, Michael and I would now be happy to take your questions. So operator, please open the line for Q&A.
Operator: [Operator Instructions] Our first question goes to William Packer of BNP Paribas.
William Packer: I'll just keep it to one as it's slightly long-winded to ask regarding the economics of the most recent DSP price rises and the implication for UMG's operating outlook. As background, when the DSPs put through the first price increases in 2022, '23, you were asked on the Q2 '23 call regarding the impact on your operating outlook. And you said we weren't moving towards a change in the split of economics between UMG and its DSP partners from that incremental dollar of revenue. You've delivered strong premium revenue growth, which certainly underpins that. This time around, things were a bit more complicated. Spotify introducing a new tier, which will include audio books at new price and have announced plans to have a basic music tier at the old price. In the U.K., for example, at this stage, complicating things further, everyone's being moved to the new tier, but we'll have the offer to spin down. In this context, are the economics of the incremental dollar different for UMG? We already have reports that Publishing will be impacted by this bundle. Should we expect DSPs to keep a greater or even [indiscernible] revenue from the new premium bundle?
Michael Nash: William, thank you for your question. Let me unpack it a bit because as you previewed -- you put together a couple of different components, which I can kind of go to what is the nature of our relationship around margin with the DSPs around the price increases. So to the general question about the increased prices that we previously discussed, as we indicated, that doesn't reflect some special agreement associated with those price increases. We do have in place, as we have discussed before, incentive structures around hitting KPIs that might relate to margin. But as I've heard you frame your question, there's no change in what we previously said in terms of those impacts. Now specifically, you've raised the question regarding the discussion of Spotify's plans around a new tier including audio books. So let me go into that with a little bit of detail. Obviously, we're not going to disclose the specific terms of our agreements with any of our partners. But of course, we're always negotiating licensee models and terms to ensure that we're fully and fairly participating in the value that our content brings to all product configurations, including bundled products. So you can take that as a premise in terms of our position and the deals that we negotiate. Now in terms of the specific question you raised, our understanding is that Spotify is still finalizing their implementation plans. So we expect to remain in close communication with them as they provide further details as those details become available. On their recent earnings call, Spotify did confirm that there will be a music-only tier as part of a broader offering of planned subscription options. So beyond that, we're not really in a position to comment. I do want to emphasize because I think that there was an implication in the setup of the question. Our subscriber economics, what we get paid are not impacted by any of the scenarios that have been discussed. So there's been some speculation. Does that mean that there's some pressure on your margins for your music economics, and that's not the case. I would note -- and we think it's encouraging that Spotify is experimenting with different pricing tiers. They're looking to maximize the optimization of customer value. We think ultimately attracting more subscribers into the ecosystem and retaining the subscribers and increase the customer lifetime value. So those are all things that we participate in as a strategic manner. Now you also raised a specific issue with respect to publishing and bundles. We're still looking into whether the offering as described in the U.S., whether it qualifies for lower mechanical rates dictated by the CRB. Our understanding is that there are ongoing discussions between Spotify and U.S. publishers. So we'll look to the resolution of those conversations to progress. We're, of course, going to stay vigilant looking after the interest of our songwriters as we stay in close dialogue with all parties and all constituencies. I hope that I have unpacked your question and then addressed the different components so that I've been responsive here to the different issues that you laid out in your question.
Lucian Grainge: Hang on. Hang on. Hang on. I'd just like to add that we're obviously focused on ensuring we, our artists, songwriters are getting all the appropriate compensation for the value that we deliver. Our products, our chart, our artist performance is exceptional. And the issues that you raised, they're not new to us. And we've constantly demonstrated that we're pretty good at coming up with solutions that benefit all of us, everybody. Our entire mantra is win, win. And I think we should add that Spotify has been an incredibly good partner on everything that we try to do to grow the entire pie, to grow the business, the way they came with us along the artist-centric initiatives, just not, I suppose, in terms of cleaning up the noise on the platform, but working with us on the strategies to provide superfans with all the compelling offers that we think that we have. And they are the types of things that we have the potential to meaningfully grow the pie for all of us. So it's long term, keep going, grow the pie and we wake up pretty much every morning and our view is there's nothing that, over a long period of time, we can't fix. We are completely absolutely aligned with all our partners.
Operator: The next question goes to Adrien de Saint Hilaire of Bank of America Merrill Lynch.
Adrien de Saint Hilaire: So I've got a couple of questions, if you don't mind. So first of all, on the TikTok deal that was announced, it might be difficult to answer. But can you say anything about how much of an upside is that deal compared to the old one financially? And then second topic, great margin progression in the first quarter. You highlighted that mix benefited the margin in Q1, but then you have the cost savings kicking in, in Q2. So how much of that uplift for Q1 will flow through to the full year in terms of margin expansion?
Boyd Muir: Maybe I can tackle the margin progression question first of all, Adrien. As I said a little bit earlier, be very careful about any individual quarter. Our margin expansion in Q1 came from operating leverage, for sure, given the revenue growth. But it was also impacted by the revenue mix where we saw a decline in the physical sales and yet an increase in the higher-margin streaming and subscription revenues. So again, that's at a higher margin. And those factors combined contributed to the margin expansion as well as obviously, the €12 million savings that we got from cash compensation from the equity plan. So we continue to progress towards what was the original midterm guidance that we would see adjusted EBITDA margins in the mid-20s in the medium term. And I think you are seeing and have seen our progression towards that original guidance. In terms of the realignment program that we announced on our last call, again, nothing really specific to update you on in that regard. We're still guiding that we will deliver €75 million of cost savings in 2024. And clearly, that will have a positive impact on our margins. So again, a bit of caution around about reading too much into any one quarter. But looking at this over the coming future, we continue to make progress towards the -- toward that -- those mid-20s EBITDA -- adjusted EBITDA margin guidance that we originally gave.
Michael Nash: And Adrien, with respect to your first question regarding the TikTok deal and the upside that we're expecting. We obviously can't disclose specific terms of the new deal, but we can say we've seen substantial improvement in the total value that we derive from the relationship through the combined components of what we have described as a multifaceted deal. On compensation specifically, revenue under this new deal does market improvement from our last deal. There are, of course, other aspects, the economic value of any deal that don't necessarily show up in the revenue line, including things like e-commerce, ad credits, data, marketing programs, other important facets of the platform relationship that we have with TikTok. I do want to just step back for a second and in context, emphasize the discussion with TikTok, as Lucian said in his opening comments, always about more than financial compensation. The three areas of focus that we identified in our letter to the artist community in January. AI compensation platform safety, I can't emphasize enough the strategic significance in the area of AI. Lucian very cogently took you through the considerations there. And I just want to emphasize that when we're looking at the total deal value. I guess the last thing that I want to say is we look at all our partnerships as work in progress, and we look at the entire social media category as a work in progress. It remains a relatively new monetization category. You're getting with the deal that we did with then Facebook in 2017. That was the first time that social platforms were paying for the use of music. So we're still at a point right now where we need to focus on continuing our efforts across the sector to maximize artist and songwriter participation in the value that they're creating on these platforms. So this is an important step forward. It's a journey here. We're thinking long term.
Lucian Grainge: Yes, I think that's very well put. What we've achieved with respect to responsible AI and our position and what we've been able to agree with them on attrition and stream manipulation has really, I think, advantaged the entire social program. Everything in our DNA is about long-term behavior and long-term growth. So the aspect that you've mentioned -- Mike mentioned e-commerce, it's the invisible stuff. We know what's visible, but in terms of what we can disclose and what we can explain, it's the invisible stuff on the commitments that we both made to one another once again win-win and show TikTok's CEO should be given credit for his leadership and grabbing this with me, with us in terms of what the opportunities and the possibilities are for both companies as well as obviously all the writers and the artists.
Operator: The next question goes to Thomas Singlehurst of Citigroup.
Thomas Singlehurst: Tom here from Citi. Actually, just one question on the subscription and streaming element. The streaming bit, obviously, really quite strong relative to expectations and relative to the more recent trend. I'm just wondering whether that's a fundamental turn in ad-funded revenue streams and likely to sustain or whether there's anything else that's sort of impacting that in the quarter.
Boyd Muir: Tom, It's Boyd. Look, I think we'd say that we're really encouraged by the improvement we saw in our ad-supported streaming growth. Particularly, two of our partners demonstrated significant growth across a very broad geography. So I think in that regard, this is why we're encouraged. But I would still -- I am still cautious at the moment given particularly what we've seen over the last number of quarters with regard to the entire marketplace for advertising funded businesses. I think we need to just be a bit cautious until we see a consistent broad-based improvement across all partners and across all geographies and probably over a more consistent longer-term time frame. So again, one quarter, very, very encouraging, but that's just -- let's not get ahead of ourselves to far too quickly.
Operator: The next question goes to Omar Mejias of Wells Fargo.
Omar Mejias: Maybe, Lucian, first, as it relates to better monetizing superfan, can you update us on any developments on this front? And what are your key internal priorities or next steps? And subsequently, when should we expect that your efforts to be better monetized -- to better monetize superfans who will start gaining traction? And second, Michael, on subscription revenue, can you parse out the impact of sort of recent price increases and any incremental benefits from the early implementations of the artist-centric models from underlying consumption growth?
Michael Nash: Omar, thank you for your questions. Let me address first the questions regarding the subscription price increases and artist-centric. I think in terms of the detail there, refer back to Boyd's comments about the Spotify growth rate enjoying the quarter-over-quarter benefit. So first quarter 2024 versus first quarter 2023 of the price increase impacting fully the first quarter. So when you look at other platforms like Amazon or Apple that raise prices sooner, you don't see -- you see the anniversarying, excuse me, let me put it that way. Is anniversarying a word of the benefit. And so you don't see the same growth impact for the first quarter for some of the platforms that you do for Spotify. And then in terms of artist-centric regarding updates there, let me hit on a couple of things. With respect to Spotify and artist-centric implementation, we're very pleased that they've now rolled out the monetization threshold, functional noise restrictions, new mechanisms to combat fraud, artificial streaming. Obviously, very important that the world's leading subscription platform has embraced these key components of our artist-centric model vision that we've been advocating since the start of last year. And in terms of the financial implications, they provided guidance around a $1 billion benefit in terms of incremental revenue for the industry over five years, which gives you a perspective on both the time frames associated with realizing the benefit that also gives you some sense of the impact that they forecast associated with those changes. In terms of an update on other discussions, our conversations with other DSPs are going very well. We don't have specific updates for you at this time. But we can't say, and perhaps this then transitions into the discussion around the superfan that we're very encouraged by positive reaction that we're getting around the prospects of super premium tier at a higher price point that would involve -- and even more advanced value proposition for customers to take advantage of the potential that our research suggests that could be in the range of 10% to 20% of the subscriber base could be the target market for a higher-value, higher-priced subscription tier. So that's part of the outlook, and I think we previewed that on our last earnings call. That's a focus of the conversations that we have right now with the DSPs in the artist-centric area.
Lucian Grainge: But the DNA of the Company is product, product, product. Artists, talent rights. And we continue to invest in, that's where our investment is, in rights and products that will accelerate what our research is with the DSPs, for example, as partners. But what the opportunity is, and we know that we could better monetize higher-value customers, the research suggests that one in five paid music subscribers would be willing to pay for a premium tier. That's enticing. We're supporting all the products and all the offer -- all the product innovations from our partners. And our strategy is to drive the marketplace. I think Taylor and our D2C fulfillment, those products are an -- are one example of the superfan opportunity. We've talked to you about the health category. We think that's an opportunity as part of driving the marketplace within a bundle. And exciting products provide access and early access to things that delight and excite fans and the superfans. So we know they're out there, all of us who've been in music and who love music we all became superfans and the feedback and the partnerships that we have, whether or not it's with this new arrangement with TikTok in terms of their homepages and as Mike says, how we deliver products with them in terms of their stores and our homepages, we're developing this, and we're investing in it. And we believe in it and so to our artists and so do our partners.
Operator: The next question goes to Lisa Yang of Goldman Sachs.
Lisa Yang: I have two questions. So firstly, just to come back on TikTok. I know the monetization is not the main consideration, but you did say that last year, they were paying 1% of revenue that's significantly undervalued content. So could you maybe just confirm without revealing the exact number that we are above that 1%, like maybe 2% or 3% or more, but we're not still at around 1% of your overall revenue. And if you could maybe just elaborate what it really means in practice when you talk about new promotional engagement opportunities, prediction production with respect to AI, like anything like a bit more concrete, I think, could be quite helpful for us. And the second question is on subscription revenue growth. I'm still a bit surprised why it [indiscernible] so much from 15% in Q4 to 12.5% in Q1. I think the lapping of Amazon and Apple, I think, should at least less than 1 percentage point of impact. So could you maybe share a bit more color, and how should we think about the coming quarters? Do we expect basically subscription should further slow from Q2? Or you expect maybe better market share to help accelerate that growth rate?
Boyd Muir: Yes. Maybe I'll start, Lisa, on TikTok. Look, we can't obviously disclose the specific terms of our deal, but we have substantially improved the total value we'll derive from this relationship. There's various components involved of what is a multifaceted deal. On compensation, specifically, revenue under this new deal marks an improvement from our last deal. I think Lucian actually alluded to this is that there are many other impacts of this deal, which wouldn't necessarily show up on the ad-funded revenue line. We talked about the opportunity that lies ahead of us together with TikTok in the areas of e-commerce. Maybe Michael can talk a little bit about the campaigning and the -- in terms of marketing and promotion that will benefit us in terms of revenue lines -- other revenue lines and just narrowly on the ad-funded lines. Really, how we'll work together in areas of data and artists insights and the intelligence that, that brings will enable us to help our artists develop their own careers. It's what we'll do together with them in the area of just technology and technology advancement and how we can solve for issues like attribution, control of fraud, all of those kind of areas where we get very, very active involvement committed to us by TikTok wouldn't necessarily show up on the ad-funded revenue line. But across the totality of our P&L, we really do see that there's -- that the economics will ultimately substantially improve our position.
Michael Nash: Let me take the hand off there with the TikTok question and address some of the areas that Boyd suggested I follow up on and then maybe go into the specific question regarding AI and those provisions of the deal. So just to reinforce what Boyd said, it's important to look at the TikTok relationship reset holistically. The list of different components from e-commerce to ad credits, data, marketing programs, other elements, there are going to be new programs and new collaboration opportunities, and we're excited to take advantage of the power of the platform to provide the best opportunities for our artists. And we think there's a lot of value there. So holistically, when you look at the TikTok deal, we think that it is definitely delivering a fair level of value relative to other short-form social platform partners to kind of get to the premise of your question. I want to just double-click on the attribution point that Boyd made. This is really important. It sounds kind of abstract. When we talk about content management and attribution and some folks have talked about it as sped up, slowed down challenge in terms of modified content, the key is to ensure that when our artists intellectual properties incorporated into UGC, they are credited, it's not some infringing third party, but the artists and that, that content is better connected to their official presence on the platform. When we talk about platform integrity, that's one of the key components. So as we advance these objectives with our partners, this means things like elevated requirements, the detection of void, infringing content including leaks, unauthorized remixes, unauthorized AI versions and also upgraded requirements for improved filtering, stream manipulation detection and eradication process. All these things are going to greatly benefit our artists. And it's the other side of the coin, the marketing and promotion programs, all the ways we can create visibility around the artist and then making sure the platform integrity is there, so the attribution is always made with respect to our artist's IP. And then in terms of AI specifically, we obviously can't go into confidential details, but speaking generally here, under our new agreement, TikTok has made a number of commitments that demonstrate respect for our artists' and songwriters' work and support our principles on AI, which have been well articulated and frequently mentioned by us on these calls. TikTok has now addressed, for example, the primary concern we expressed in our open letter in January that AI-generated content would massively dilute the royalty pool for human artists. That's very important. Under our new agreement, we can say that TikTok will also protect the integrity of value of human artistry by ensuring that fake artist AI content uploaded by third parties that misappropriates the identities of our artists and fringes on the right of publicity can be removed. Collectively, these and other commitments we've secured regarding generative AI represent what we think is a dramatic improvement from where things stood just a few months ago, and they deliver another major win for all artists and this is really important I think to emphasize that we appreciate the support of various artist organizations on this topic. This is going to be really significant in terms of win for the artist community as we look to continue to lead with respect to requiring platform partners to protect human artistry from AI's potentially horrible effects.
Boyd Muir: I could just round out on the second part of Lisa's question, which was regarding subscription revenue. I mean, there's probably not much to add other than what we've already said. But just to maybe repeat what we said before is that in the quarter, our revenues from Spotify tracked closely to the revenue growth that Spotify themselves reported. Clearly, that had a benefit year-on-year of the price increase. The reality is that not all platforms are growing at the same rate as Spotify grew at in the quarter. Part of that is as Michael used the word anniversaried. The reality is Amazon and Apple increased pricing earlier, so they didn't get the benefit of a year-over-year growth on those two particular platforms. So again, when we look at the -- and again, the biggest single driver of this is subscriber growth. And we're looking at the total subscriber growth across all platforms across all geographies. We're very encouraged by that subscriber growth.
Operator: The next question goes to Conor O'Shea of Kepler Cheuvreux.
Conor O’Shea: Two questions. Just a follow-up on the subscription growth. I mean, from your comments so far, should we imply that as the Spotify price increase from last year is also overlapped that pending other price increases from the platforms to be announced this year potentially that subscription growth has sort of peaked in the first quarter we should expect slightly lower numbers in the coming quarters. Or will the, say, Taylor Swift effect gain with the new album drive market share gain compensate for that potentially? And then the second question, just on the publishing side, a very strong number in the performance royalties. I guess some of that is still prolonged bounce back of touring post pandemic and so on. Do you see that number normalizing at some stage this year? Or could we grow double digits throughout the year?
Boyd Muir: Conor, I mean, maybe I'll just try and tackle this in parts. Again, you're going to hear me say again looking at these revenues and these results on a quarterly basis can be somewhat misleading. I mean you really got to look at it over a longer kind of period. And I think in particular, publishing, you do see variances quarter by quarter. In terms of performance in Publishing, there were two factors in that regard. One was the collection here in the in the U.S., which from one of the societies that the benefit of the quarter as well is just particularly in Europe, still returning activity in relation to live performance and revenues coming in from various venues. So again, just try and look at this on a slightly longer-term horizon. We still see very consistent growth from our publishing business, both in terms of the market but also in relation to our own publishing division, which continues to perform very, very strongly vis-a-vis the competition in the marketplace. I'm not sure on subscription, whether there's a whole lot more that we can really add other than if you do want to go for that longer term, you kind of view in terms of subscription. I think there's two things that I look at. We're currently in the kind of realm, as an industry, of about 650 million kind of subscribers, consumers consuming music by paying an amount per month for access to all the music created and some -- even more than ever created. So that growth in the subscriber growth is the single most important driver of our forward-looking growth. And I think there's a second point, which Michael and Lucian touched on, which mustn't be underestimated is when we look at the product offering from the platforms, it's been -- broadly as a product offering, it's been broadly consistent with -- for many years now. And the conversation about the superfan, the conversation around the could one in five subscribers be willing to pay an increased amount for a premium -- from a premium tier is a very, very important part of the focus and a very important part of all that we've articulated over the last period about artist-centric, it's one thing to clear up a lot of noise and clutter on the platforms, which is certainly one part of our artist-centric. But the second part is really about how we can focus on the fans and connecting those fans with the artists that they're...
Lucian Grainge: Just going to say, it takes two to tango. And the real world in which we live day to day, the conversations that we have operationally with all of the DSPs and I mean all of them, they all want to improve. They're all looking at the superfan, they're all looking at what their products are at their own brands, markets to invest in. We talk about China, India, each company, each dialogue and conversation is operationally diverse. And we're at the middle -- we're in the middle of it, in the center of it, working with them as partners to grow the entire time.
Operator: The last question goes to Michael Morris of Guggenheim Partners.
Michael Guggenheim: I wanted to ask one on the TikTok dispute but from the artist angle. Can you talk about the effectiveness of taking content down during the period of the dispute. So specifically did the technology work and you felt like you were able to impact the platform by having your music removed and also how do you feel that the artist supported that effort and how do you build that consensus with individual artists when they're making a sacrifice by not having that exposure during what could be a prolonged period? So that's my first question. And then second, you've spoken about accelerating growth in some of these emerging markets, China, South Asia, Africa. You've made some investments. Can you talk about, I don't know, maybe help us size what the impact of growth in those markets could be over time? And how far into the investment process you believe you are to get to where you want to be there.
Michael Nash: Michael, thank you for your questions. Let me address the first one regarding what I would characterize as the general category of content management and then there was an additional component that has to do with artist community support. So we feel like we were effective in using the takedown process during the period of time that we were not in a license relationship with TikTok to identify content. And I think as we previously indicated, our efforts resulted in hundreds of millions of videos being muted. I think what's more important is to consider the go forward. We learned a lot during that period of time with respect to identifying content as part of the conversation about attribution and addressing enhanced components of the partnership that enable us to do a better job of managing all this modified audio, which was a significant part of the effort in terms of the takedowns that we issued. And then in terms of artist community support, as Lucian has underscored, we're incredibly grateful for the artist organization, artist community support and the support of individual artists. And it was very gratifying to see that our long-term vision about what was really needed in terms of advancing the partnership, particularly around AI, but with respect to the whole set of issues, the level of support that we received was instrumental to us being able to achieve the end result that we did.
Lucian Grainge: But there are three partners to the win-win, the artists and the writers, TikTok and UMG and probably the fourth partner, which is the entire rest of the ecosystem. With regard to your question about emerging markets. Look, a scenario I focus much of my career on having run the international division when I was back in London 14, 15 years ago. The approach has to be, in situations like this, highly nuanced. We have existing operations in many of these markets and have done for decades. But we scale our presence to the opportunity. We're pragmatic commercial businesspeople. And if there's a market we can see in trends, in data or we can to sniff out the opportunity, then we will go to where the opportunity either exists currently or is emerging or what we can see. And obviously, it's twofold. It's like how much commercial potential is there for recorded music and the music publishing business within that market? Is IP protected there? And can we identify artists as well as entrepreneurs in those markets moving forward? And we're constantly looking at all of these factors, all of the time in real time, like we check the weather, hourly, what's the opportunity, what's going on. And the next few years is not about playing catch-up. It's about being ahead. And as I said, we'll continue to scale our presence to take advantage of what we see and the advantage of the Internet and the advantage of all our DSPs and the advantage of every single piece of information and data and CRM that we get is that we can see it in real time. And there are lots of things that we continue to uncover and identify that we weren't aware of yesterday or maybe two, three years ago. It's incredibly fortifying and exciting.
Operator: Thank you. That's all the questions we have time for today. This now concludes today's call. Thank you all for joining. You may now disconnect your lines.